Thomas Fossard: Good afternoon, everyone, and welcome to SCOR Q1 2025 Results Conference Call. My name is Thomas Fossard, Head of Investor Relations; and I'm joined today on the call by Thierry Leger, our Group CEO; and François de Varenne, Deputy CEO and Group CFO; as well by other committee members. Can I please ask you to consider the disclaimer on Page 2 of the presentation? And now I would like to hand over to Thierry. Thierry, over to you.
Thierry Leger: Thank you, Thomas. Hello, everyone, and thanks for joining the call. Let me start with a few key messages. I'm satisfied with the first quarter results. The performance of our three business activities has been strong, delivering €195 million of net income, an 18.3% ROE and an economic value growth of plus 6.8% at constant economics. P&C performance was excellent in the first quarter on a reported and on a normalized basis. The combined ratio for Q1 2025 is at 85% ahead of our forward 2026 assumption of below 87%. This was achieved despite the €140 million impact from the Los Angeles fires. In addition, we have been able to build significant buffers, thanks to an excellent attritional loss ratio in the first quarter. In Life & Health, with an insurance service result of €180 million and a neutral experience variance for Q1, we are on track to reach our full year forward 2026 assumption of around €400 million ISR. We continue to execute on our three step Life & Health plan established last summer to restore the profitability of our new and in-force business. After almost nine months in charge of our Life & Health business, I was particularly pleased last week to announce the appointment of Philipp Ruede, as the new CEO of our Life & Health business. I'm confident that Philipp with his experience and expertise will be able to restore the profitability of our Life & Health business. As a reminder, Philipp will start on 1st of June. Investments had another strong quarter. We achieved a 3.5% regular income yield at the upper end of our forward 2026 range. This is thanks to our high-quality fixed income portfolio that continues to benefit from elevated reinvestment rates. Our group solvency ratio stands at 212%, an increase of two points compared to the end of 2024. This increase is primarily supported by positive net operating capital generation while market variances are broadly neutral. This is a strong outcome in a volatile market. Our economic value in Q1 has increased by 6.8% at constant economics. This puts us well on track to achieve our 9% economic value growth target for the full year. Last, but not least the Q1 ROE stands at 18.3%, which is well ahead of our 12% forward 2026 full year assumption, and a result of all three business activities strongly contributing to the group net income. The April P&C renewals have been successful. In a softening market environment, our teams executed in a disciplined way on our new business strategy to grow in a profitable and diversifying -- in profitable and diversifying lines of business i.e., alternative solutions and specialty lines. We maintained our technical stance on US casualty, which as a result continued to shrink in terms of premium income. Overall, SCOR's EGPI increased by 1.5% at a strong, and only slightly deteriorating combined ratio. For the midyear renewals, we foresee pricing to remain competitive overall. However, we expect some payback for the Los Angeles fires and generally stable terms and conditions. In this context the technical profitability of our portfolio should remain relatively stable and attractive overall. To conclude, overall, the first quarter results are a good start into the year and we are on track regarding our full year objectives. In P&C, the year-to-date renewals set a strong base for the rest of the year. In Life & Health, our efforts start to bear fruit. Our investments continue to contribute positively to the bottom line. There is still work to be done, of course, but I'm looking ahead with confidence. I hand over now to our Group CFO for more details. François, over to you.
François de Varenne: Thank you. Thank you very much, Thierry, and good afternoon, everyone. I'm very pleased to present our first quarter results. I will focus on figures, excluding the mark-to-market impact of the option on SCOR's own shares as usual. For the first quarter, we are happy to report an adjusted net income of €185 million, and an annualized return on equity of 18.3%. All three business activities deliver and contribute to the group results. As mentioned by Thierry, P&C continues to show an excellent performance with a combined ratio of 85% despite the Los Angeles wildfires impact. The strong underlying attritional performance, also allow us to build a material buffer opportunistically. Life & Health insurance service result continues to improve with a neutral experience variance this quarter including, the US Investment delivered high return on invested assets of 3.8% and a regular income yield of 3.5%. Now, let me walk you through those results in more details. Starting with P&C. With the successful renewals in January 2025, the new business CSM increased by 9% year-on-year. This comes from our disciplined growth in strategic diversifying lines, as well as from the strong profitability of the business that we are underwriting. Our retrocession program as well placed at the beginning of the year, also contributes positively on the net technical margin, fully offsetting the inward business margin erosion in a softening market context. The P&C insurance revenue is down minus 0.7% for the quarter. The already mentioned large contract communication impact the Q1 growth rate by minus 0.8 percentage points. Excluding this effect, the insurance revenue growth is flat because of two different dynamics on our portfolio. The first one in reinsurance revenue is up 3.7%. This is driven notably by alternative solutions and diversifying specialty lines such as, marine, IDI and engineering. Property and property cats are up 4%. These are very much in line with our expectation. The offset this quarter come from our proactive actions to further reduce our exposure in US casualty in each and every renewal, since the 1st of January 2024. The impact is flowing through the IFRS insurance revenue, which is down 12% for this specific line of business in Q1. Excluding this US casualty effect, the reinsurance portfolio grows by 5%. Second, if we look at the SCOR Business Solutions portfolio, we see an 8% decline for three drivers: our strategic decision to stop underwriting a single-risk U.S. casualty business from London and Paris, announced at the beginning of 2024. The second effect is, linked to a timing effect on the renewals of some contracts in Q1 on which, we expect the revenue to flow through in the upcoming quarters. And we have also a cycle management in relation to the current pricing environment on SBS. Our P&C strategy for Forward 2026, focuses on most profitable and diversifying lines successfully resist to a softening market context and ensure an unchanged net technical margin at a very attractive level. This is evidenced by the 9% growth in new business CSM, which is going to be released into the P&L over time. We are very pleased about the results of this strategy. Before moving on to the next slide, I would like to remind you that we communicated in last December a minus €150 million impact of the large contract communication for H1 2025. In the Q1 accounts, we are seeing only a small part of the minus €150 million. The rest of the impact is likely to come in the Q2 accounts and can significantly weight on the Q2 insurance revenue growth rate. On a full year basis, I reiterate, that the impact on the full year 2025 growth is around minus 2%. Moving on to the underlying performance of our P&C book. Our P&C combined ratio stands at 85% in Q1, better than the Forward 2026 assumption of below 87%, in a quarter of elevated nat cat losses for the industry. The nat cat ratio is 12.5% including €148 million net losses from California fires, consistent with the estimation that we provided earlier in the year. The rest of the cat losses are limited in the quarter accounting for less than two points of the cat ratio. In such a quarter, our contained cat ratio continues to demonstrate the underwriting discipline and the effectiveness of our nat cat strategy. The 74.7% reported attritional loss and commission ratio, is our lowest since -- lowest level since the transition to IFRS 17. In addition, this includes a significant level of prudence that we are able to build opportunistically, given the excellent underlying performance this quarter. The minus 9.3% discount effect is higher than expected, reflecting mostly a larger share of US claims this quarter including the Los Angeles wildfires and some man-made claims, on a lower base of insurance revenue. And as you know, the discount rates are locked in when we write the contract and this reflects the higher interest rate in the US at the time of underwriting. So overall, if you adjust for cat and discounts, the normalized combined ratio would be 84.7%. So really, again an excellent quarter for P&C. Now, let's have a look at the Life & Health contribution. The Life & Health business generated a new business CSM of €76 million in Q1. These figures appear below our full year guidance of roughly €400 million on a quarterly basis. But remember, that we have shifted the strategy of Life & Health towards higher return hurdles on the protection portfolio, and the new business mix mostly on longevity and financial solutions and this is just the first quarter of implementing the new strategy. In December, we mentioned of around €400 million new business CSM expected for year 2025 and 2026 and that it could be slightly lower in 2025 given that this is the first year, but we expect new business to ramp up in 2026. The insurance service result is at €118 million this quarter with CSM and risk adjustment release in line with expectation and the neutral expense variance including in the U.S. The business performance continued to improve this quarter and we will wait for a few quarters before claiming any victory on this specific topic. Now, moving to investments. We continue to benefit from an excellent performance on the investment side with a return on invested assets of 3.8% this quarter. This comes from an elevated regular income yield of 3.5% as well as from a positive fair value change on our private equity and infrastructure investment portfolio. As you know we have gradually increased our value creation assets portfolio for a couple of years and we start to see the benefit coming through the P&L. In addition we continue to reinvest the rest of the portfolio at a high reinvestment rate of 4.3%. Our economic value is up by €0.4 billion in Q1, representing 6.8% growth at constant economics from year-end 2024. This is driven by the successful P&C renewals at the 1st of January as well as by the good performance from all three business activities. This translates into an economic value per share of €51, up €3 compared to the end of 2024. In consequence, our financial leverage decreased to 23.6% from 24.5% at the end of 2024. To conclude, I just would like to thank all our shareholders who maintain their trust in SCOR and their continued support since the beginning of the year in the context of geopolitical uncertainty which is not in the hands of the management. And with this, I will hand over to Jean-Paul Conoscente for the April renewal results.
Jean-Paul Conoscente: Thank you, François and good afternoon everyone. I'd like to briefly share with you the outcome of the SCOR April 1st treaty renewals. As a reminder, these represent roughly 12% of our reinsurance portfolio and less than 10% of our global P&C business. They are highly focused on Asia-Pacific, accounting for over 50% of the SCOR premiums up for renewal in April. Similar to January, April renewals saw a trend of increased competition and softening prices, particularly in the property cat space and to a lesser extent, in specialty lines. However, the decrease in prices was mainly limited to non-proportional treaties. Proportional treaties are still getting primary rate increases and this is why we have overall stable prices. Rate adequacy remains strong in most lines of business with reinsurance terms and conditions broadly stable. In this environment, SCOR maintains its P&C strategy, growing strategically in the preferred lines. Our portfolio's overall price and net technical profitability remained stable year-to-date compared to 2024. I will now drill down on the shaping of the portfolio at these renewals. We continue to execute on our Forward 2026 strategy growing in preferred lines. First, we continue to actively grow our alternative solutions portfolio, focusing on capital relief quota shares with low economic capital consumption. Our portfolio growth is concentrated at this renewal on APAC markets with a 50% growth in that region. Second, we continue to expand in our preferred segments achieving a 5% increase overall in Marine Engineering, IDI, and International Casualty. Year-to-date growth stands at 9% versus 2024. Our strong franchise gives us access to a wide range of opportunities, enabling us to remain selective and grow where rate adequacy remain attractive. Third, we have maintained a prudent approach to climate-exposed business. The Los Angeles wildfires and the active tornado/hail losses in Q1 are reminders of the impact of climate-sensitive perils. However, their impact on April renewals was limited to loss-affected U.S. programs only. Pricing pressure continued on loss-free programs, which often renewed at minus 10% to minus 15% risk-adjusted rate on lines compared to 2024 prices. Loss-affected layers renewed at risk-adjusted rate online increases of plus 10% to plus 15%. With Japan being the most competitive cat market at this renewal, we grew our cat premium in the U.S. and in other Asian markets for an overall growth of 6%. Combined with the January renewals this translates into a year-to-date premium growth of 2%. As a reminder, Cat XL represents only 15% of our total portfolio EGPI renewing at April 1st and 12% of our total EGPI year-to-date. Lastly, we have maintained a selective approach to U.S. casualty. Loss trends inflation and nuclear verdicts continue to be the focus of renewal discussions. Although we have seen improvements in the primary underwriting from many of our clients we do not believe there is still sufficient accumulated rate to catch up with past recent years' loss trends and loss cost inflation. In addition, reinsurance terms and conditions have remained broadly stable, thereby providing insufficient margins to reinsurers. Consequently, we're remaining very selective on the programs we support. This has led us to reduce our portfolio EGPI by one-third at April 1 and by 13% year-to-date. To conclude, the April renewals demonstrate once again the execution of our treaty portfolio strategy, gradually shifting the balance towards our preferred lines. Our underlying discipline enabled us to achieve modest growth at April renewals, while keeping expected net technical profit roughly stable year-to-date in an increasingly competitive market with an overall estimation of 0.5 -- less than 0.5% deterioration of our technical margin year-to-date. Looking ahead to the June, July treaty renewals, we expect similar market trends with more loss-affected US cat programs renewing. Barring any new major loss occurring in Q2, we expect continued competitive property cat and specialty renewals with pricing softening from peak levels and similar market discipline to what was observed in the early renewals. In this environment, we continue to execute our strategy to grow in preferred lines. I will now hand back to Thomas for the Q&A.
Thomas Fossard: Thank you very much, Jean-Paul. On Page 20, you will find the forthcoming scheduled events. With that we can now move to the Q&A session. [Operator Instructions] And operator with that we can take the first question. Thank you.
Operator: Thank you, sir. [Operator Instructions] The first question is from Andrew Baker of Goldman Sachs. Please go ahead.
Andrew Baker: Great. Thank you for taking my questions. Both on P&C Re. I guess the first one, can you just help me pick apart the insurance revenue growth? So the 4% to 6% CAGR for the plan. Obviously in Q1, on a constant FX, you were sort of flattish if we exclude the large contract. I appreciate -- I mean you've laid out that that was reduction in casualty lower SBS again from US casualty. But I thought that these are already part of the plan. So you also mentioned some timing effects. So just help me to sort of think through where we're tracking versus that 4% to 6%. Is it sort of structurally lower? Or is some of this just timing differences? And then the second one, are you able to just provide a number on the buffer build in Q1? And I guess the normalized combined ratio looks really strong, obviously stronger if we adjust for this buffer build. So how should we be thinking about a full year combined ratio versus the sort of 87% level that you lay out? Thank you.
François de Varenne: Good afternoon, Andrew. Thank you for your two questions. So on the first one, so let me come back on the insurance revenue growth. So that's true that what you see in Q1 is below I would say our guidance of 4% to 6% for 2025 and 2026. So -- if you adjust the US casualty effect that you see, I would say our growth is more in line -- is below the range. What we do and Jean-Paul can comment on this, but we really protect the technical profitability and the technical margin on the portfolio. You see the benefit of this strategy on the growth of the new business CSM, which stands at roughly 9% this quarter. We have a small effect as well in Q1, a volume effect on the structure of the alternative solution deals. We see a growth in insurance revenue of plus 34% of alternative solution deals. Typically, those deals can be structured with high commission or financial components varying from 40% to 98%. You remember that during the IR Day, we had a strong focus on this with an underlying assumption of I would say an average financial component in alternative solutions deals of roughly 60%. What is happening in the 2025 renewals on a few large contracts, we have adjusted the structure so mechanically leading to lower volumes, but I insist on the fact it's not because you have lower volumes in insurance revenue under IFRS 17 that you have lower contribution in insurance service result. So that's key to understand this effect. It's just a mix but the profitability is unchanged and the growth of the contribution of alternative solution is unchanged. So it's a little bit too early to give you a guidance for the full year before the June and July renewal. So a little -- it's still too early to have a definitive view. But you can expect that we still expect a positive profitable growth for the full year, but I would say it will be a low single-digit growth under IFRS 17 in 2025. Second question on the buffer building. So you know that the buffer, we switched at the end of 2024. So we had the objective with Thierry to build at least €300 million of additional buffer into the risk adjustment by the end of the plan. This objective was reached at the end of 2024 so two years in advance. And we mentioned during the Q4 call that we were significantly above the target of €300 million. So we switch now I mean the buffer strategy is only opportunistic compared to the last 18 months which was really a systematic approach each quarter. Here again, I think both of us Thierry and I insisted at the beginning of this call, mentioning that the underlying performance of P&C is excellent. When we mentioned that this is excellent it's of course, before buffers. So we opportunistically put aside this quarter some buffer. We don't comment on the number, or the figure itself. But as I mentioned in the call it's a material amount.
Andrew Baker: Great. Thank you.
Thomas Fossard: Thanks, Andrew. Can we take the next question, please.
Operator: The next question is from Kamran Hossain of JPMorgan. Please go ahead.
Kamran Hossain: I just wanted to ask on P&C. Obviously, 84.7% in the quarter is a very encouraging kind of sign versus where you kind of versus the 87%. Just wondered about the attitude internally, whether like some of us I'm pretty excited about that number today, it's very positive. How do you feel about that internally? You're excited carried away, or is this a let's see how the rest of the year develops before we kind of bank on 84.7% being the right kind of underlying margin? And the second part of the question is on the -- I guess, on the reserve building, clearly, the opportunistic approach, I think, is well understood. Why didn't you book at €87 million? Because I think if I use like net insurance revenues, take it to €87 million, it's something like €30 million more. So just interested why you didn't take it to €87 million instead of maybe where you take it to today?
François de Varenne: Thank you, Kamran for the two questions. On the first one CFO, at least in my case, I'm never excited by any figure. So it's a historical quarter since the transition to IFRS 17, we mentioned it, especially when we look at the performance of the attritional ratio. Let's say, you understand that when we choose the amount of buffer we put aside in such a quarter, the combined ratio is landed. So it's a decision ultimately of Thierry and I to select a normalized combined ratio close to 85% on published or normalized number. So it's a decision of the management to land the combined ratio at this level and to put aside the amount of buffer that we decided which is again quite material, this quarter. So that's our choice. I don't know, Thierry, if you want to add something to the potential excitement of the CEO.
Thierry Leger: I think that -- and Jean-Paul, I'm sure would join me in this. There's also being proud about what the team has achieved over the last two, three years. I think this is -- there's always a bit of luck in reinsurance, we know it. But this is also the result of many years of excellent work on the P&C side. It was also a good strategy that we are having since a while. And so this is a bit the fruit of all those efforts. So I think excited is also for me, not the right word, but proud of what the team has achieved, definitely very much so.
François de Varenne: I guess, it answers as well to your second question, Kamran.
Kamran Hossain: Yeah. Yeah, I think it's clear. I mean, I'm very intrigued whether the €30 million that it would have taken to get to €87 million is more or less than the number you've put away in Q1. But I'm sure you probably don't want to tell us that.
François de Varenne: No, I won't comment the amount. I think, you should increase a little bit.
Kamran Hossain: Fantastic. Thank you very much.
Thierry Leger: And the point is -- the point is really -- and I help you -- I mean, when we say the attritional is excellent, then the attritional is excellent. That should actually be very helpful to help you.
François de Varenne: If you still have -- I see Thomas with two strange eyes looking at me. You know that, the buffer are in the expense variance. So you look at the amount of the expense variance this quarter. Just look at the plus and minuses in the expense variance each quarter. So on the minus side you have of course, the higher nat cat claims. I think it's quite easy to compute on your side. You have -- keep this in mind but you have lower insurance revenue than expected. So it weighs a little bit on the negative side. And we have the prudence building. But on the positive side, you have the strong profitability of the quarter and the strong underlying attritional. Again, I guess, Thierry and I, when we comment the excellent performance, it's before prudence.
Kamran Hossain: There are lots to be proud about in the quarter. It's a very good quarter.
Thomas Fossard: Thank you, Kamran. Operator, can we take the next question, please.
Operator: The next question is from Will Hardcastle of UBS. Please go ahead.
Will Hardcastle: Afternoon, everyone. The first one is just linking with renewals and technical margin. You mentioned that, year-to-date the net technical profitability deterioration is limited to less than 50 bps, and there's clearly a timing aspect from last year and this year's renewals. But if you were to -- how much further, I guess, would you accept weaker technical pricing across the whole of 2025 before that better than 87% combined ratio needs to be considered a bit of a stretch. I know it's a bit of a waffle. But just trying to understand, how much headroom you have in this better than 87% for pricing to be able to keep printing that for next year I guess because that's more of an earn-through basis? The second one is, can you help us on the trajectory of revenues from this point? Obviously, we've understood what you've helped a lot there for '25. There's quite a lot of moving parts on how we should think about it going forward. I'm trying to understand, how big a headwind could US dollar weakness be, perhaps how long this US casualty reduction drag can affect and when we get to that run rate on an underlying basis? Thank you.
Jean-Paul Conoscente: So, on your first question, I think, we see overall the business coming from a high point and very good price adequacy. It's very difficult for us to tell you, how much price decreases would be acceptable. It very much depends on the geography, the lines of business. All I can say is, in this market and you see that the renewals, we continue to grow where it makes sense. When we achieve overall premium growth despite price decreases, it means we're increasing our exposures. So that reflects a little bit our risk appetite. And when you'll see in the renewals that we start decreasing the overall premium, then that will be the sign that we think we're reaching the limit of price adequacy in some segments.
François de Varenne: On your -- Will on your second question, so on the business side, I mean we maintain our confidence except the point we mentioned on the growth of insurance revenue for P&C in 2025 as discussed a few minutes ago. It's still early on our side to comment on the effect on the tariff war that we see today. There is this 90-day points. So we will see in July. We are in a business which is not directly affected by what is happening. So, I would say the only uncertainty could be linked to the impact on the macroeconomic environment at the end of the year. Could it be on the inflation side on interest rate side or potential global recession? We think that we are quite resilient to face this potential uncertainty. It's too early to quantify it, but that's the only point I see. And as a consequence, as you mentioned it the potential weakening of the dollar, we published in the URD the sensitivity of 10% weakening of the dollar on the equity side. We published the sensitivity of the solvency ratio. I can add that if you need the sensitivity of the net income to a 10% weakening of the dollar, I would say, it's roughly five, six points negative, five, six points. So it's manageable at the level of the group.
Will Hardcastle: That’s very helpful. Thank you.
Thomas Fossard: Thank you, Will. Can we move to the next question?
Operator: The next question is from Michael Huttner of Berenberg. Please go ahead.
Michael Huttner: Thank you. I really only have one question. I was looking at your Investor Day slide and it shows economic value growth target of 9% per annum. And if I understood correctly, what you said, you've done 6.8% in Q1. So you're running at about 2 times or 3 times the target rate. What did you assume wrong or what did you assume too prudently in -- on the 12th of December? It seems this is not a small difference. It's a big difference. And then going back to the solvency so the 212%, just if we think about your normal earnings and stuff, it feels like, we could potentially land to close to 220% by the year-end. I'm assuming that the reserve buffers or whatever is in the solvency. So what would that mean for potentially thinking about shareholders? Thank you.
François de Varenne: Thank you, Michael. So, on the economic value growth so that's an objective of the plan, 9%. We did not recalibrate the objective of Forward 2026 during the IR Day of December. So that's the objective of the plan published in September 2023, so a growth of 9% per annum. So we delivered 6.8% at constant economics in Q1. There is -- as we saw it last year, there is a strong seasonality effect in the way we build the economic value during the year. So in Q1, you have the strong effect of the 1/1 renewal of P&C. You will still have some effect with the -- when we take into account the rest of the renewal in Q2, then this effect will disappear. So you should expect in the second part of the year a subdued growth of the economic value. So that's why we prefer at this stage to reiterate the objective of 9% -- and we are just happy and satisfied with the level of Q1. So don't see anything else than the strong renewal of P&C in the 6.8% and the high seasonality in the way we build the growth for the economic value. On the solvency ratio, so the 212%, so just to comment a little bit on what happened in Q1 on the solvency ratio. So we increased by two points, the solvency ratio. It's mostly coming from a very strong capital generation, particularly from P&C net of capital deployment. So that's linked to the quality of the renewal and the performance of the book. You have the usual accrual of the dividend at €1.8 in Q1. There is no model change during the quarter and we have a neutral impact from economic movement in Q1. To predict what will be the level of solvency at the end of the year. Again, keep in mind that there is a form of seasonality in the solvency ratio, we recognize so it's a little bit disconnected from IFRS 17 but we recognized part of the 1/1 renewal in Q4 then the rest in Q1. Then in Q2 again, we take into account the rest of the renewal. And you will have – we usually end the year with 0 or even negative point of capital deployment at the end of the year. So I think since from today the 220% seems to me a little bit optimistic.
Michael Huttner: And is the buffer whatever is that in the solvency?
François de Varenne: No. And so to your question, we were clear, since we decided to build buffer. So there is a one-for-one connection between the reserve under IFRS 17 and Solvency II. The buffer are now in the risk adjustment and you know that we manage the risk adjustment in a quantile approach, so which means that the buffer are not in the solvency ratio. They are not.
Michael Huttner: Thank you. Thank you so much.
Thierry Leger: Thanks, Michael. Can we move to the next question.
Operator: The next question is from Shanti Kang of Bank of America. Please go ahead.
Shanti Kang: Yes, thank you. So two questions. The first one is just on P&C. So just curious how we should think about the opportunistic buffers against your 75% to 80% reserve percentile? And then the second question is just back on Life & Health. So obviously, the Q1 experience variance is a very good step but it's neutral. But I was just curious to know when you think that will turn positive. My guess is that over the longer-term, generally that would be a positive experience from a kind of prudent position. So I'm just curious how you think that will develop over time? Thank you.
François de Varenne: Thank you, Shanti Kang. So on your first question, I think I mean to look at the quantile of P&C in Q1 first we don't publish the quantile for the two segments. Just take it the way we manage it, the way I explained it a few minutes ago, at this stage, it's really given the very strong or the excellent underlying performance of the P&C book in Q1. It's a management decision. So it's mostly a decision of Thierry and I. On the expense variance, on the Life side, so it's slightly positive. We are satisfied by the fact it's positive as well on the US book. We are happy or satisfied with what we observed. As I mentioned it, I think it's too early to claim for any victory on this point, even if again we are satisfied from what we see, given the size of the mortality book in the US, we still expect to have some volatility and to see a trend down of this volatility to zero. So we could still expect maybe a quarter or two with negative expense variance in the US. So it's too early to say victory it's done, even if it's really encouraging.
Thierry Leger: Thank you, Shanti. Can we move to the next question.
Operator: The next question is from Vinit Malhotra of Mediobanca. Please go ahead.
Vinit Malhotra: Good afternoon, Thierry. Good afternoon, François. So just a little bit of follow-up and then I'll – just in the attritional is excellent commentary. Sometimes in the past this also came from just lower incidence of man-made law failed. So I'm just curious that, do you think that could have played a role? Of course you've mentioned all the hard work done over the years and we can see that. But I'm just curious on that – and in that same context just thinking of the pricing and margin discussions, you did talk about LA fires payback. How much are you – I mean how much of that needs to happen for you to meet your objectives or be happy with these numbers or whether the sustainability of this kind of underlying loss ratio. So how important is that even for you – sorry, there are two questions really here. But that's really the topic that okay, how sustainable and how much is FI pricing important to you in this? And if I can ask about where you're building those prudent buffers I could but it if you choose not to answer it. Thank you very much.
Jean-Paul Conoscente: So thank you, Vinit. On the first question on man-made, I think this quarter we see a normal or slightly below normal activity. So that's not the main driver of the good attritional. I'd say, the man-made is in line with the expectation. And the attritional is really coming from the very good performance of the rest of the book. On your second question, so the June July renewals the US cat is, I'd say, the larger proportion of the cat book we renew. Keeping in mind that cat still remains a relatively small percentage of the overall premium that's renewed, even at the June July renewal. So the California wildfire payback will have an impact. And I think you'll probably see this in the overall price increase or decrease we'll have across the entire book, because there'll be more loss effective programs renewing. But for us, it won't be a major driver of the overall price increase or decrease we have across the book.
Q – Vinit Malhotra: Okay. Thank you.
François de Varenne: Thanks, Vinit.
Thomas Fossard: Thank you. Can we move to the next question, please.
Operator: The next question is from Iain Pearce of Exane BNP Paribas. Please go ahead.
Q – Iain Pearce: Hi, good afternoon, everyone. Thanks for taking my question. The first one is just on the new business in Life. So the €400 million guidance, it sounds like that's probably going to be a challenge for 2025. I'm just wondering, why you think that that will start ramping up in the second half of the year and into 2026. Obviously, the change in the sort of profitability in areas you're targeting is leading to a slowdown, but just wondering why you're expecting that to start growing again, if the strategy isn't going to change from what it is at the moment? And then the second one, I think it was just a follow-up. I'm not sure it was answered when Will asked it. But just what the headwind you're expecting in H2 from the further reductions in US casualty in the insurance revenue would be really useful? Thank you.
François de Varenne: Thank you, Iain. So on the first question, if you remember what Thierry presented mid-December during the IR Day, so the new strategy or the updated strategy on the Life & Health book. So we decided to increase immediately the other light on new business, which has the implication mostly on the protection book to reduce almost day one the premium, but to protect or to increase the margin. So that was an effect that is expected. So, a drop of the premium on the protection book. And then the strategy is, to change progressively the portfolio composition and portfolio mix and to diversify the protection of the mortality portfolio on longevity and financial solutions, which are less capital intensive and have much higher margin. So this effect will take a few quarters before it will be visible. We have a certain number of I would say, longevity deals in the pipeline that we should see them in the next quarter. It will take a little bit more time on the Financial Solutions side. So again, there is a kind of G curve a slight decrease that was expected at the beginning in the new business CSM, before we have a catch-up effect from the diversification of longevity and the financial solution. So there is nothing else that was expected. I think we commented this effect, during the IR Day or the Q4 results, and that's just what you see in Q1. And we prefer to say that the €0.4 billion guidance is mostly valid for 2026. Maybe on US casualty for H2...
Jean-Paul Conoscente: So, US Casualty represents roughly 15% of the overall premium that's up for renewal at June, July for us. And we expect a similar approach to those renewals that we had in the prior renewals this year. So we're looking at each client individually, each program individually, looking at what actions the client has taken how the reinsurance terms and conditions evolve or not and that will drive basically the actions we take on that portfolio. So if you project an average of what we've achieved so far to 15% of the volume up for renewal that gives you some estimate of what the impact would be.
Q – Iain Pearce: Okay. Thank you.
Thierry Leger : Thank you, Jan. Can we move to the next question, please.
Operator: The next question is from Hadley Cohen of Morgan Stanley. Please go ahead.
Hadley Cohen: Hi. Thanks very much. Just one question remaining actually from me. And just a very quick one. The running yield on the portfolio is around 3.5% reinvestment rates 4.3%. What would be really useful though if possible is to get what the yield on the maturing assets through this year so that we can get a real sense of how to think about the incremental uplift on the investment return? Thanks very much.
François de Varenne : Thank you, Hadley. This information we don't provide. So you see that -- I mean, that's true. I mean the reinvestment rate is still higher than the regular income yield so which means we can still increase the contribution of the fixed income portfolio to the net income. We don't provide the yield on maturing assets on the back book, but it's not complex exercise. You have the duration of the portfolio. So you can imagine it's a short duration even if we increase over last year by almost -- over the last 12 months by almost one year the duration, but that's something I think you can easily compute if you take into account that 50% of the portfolio is denominated in dollar and 30% is denominated in euro. And we just reiterate the guidance. We are more in the higher part of the guidance and I think that should be confirmed for the rest of the year.
Hadley Cohen: Thank you.
Thomas Fossard : Can we move to the next question, please.
Operator: The next question is from Faizan Lakhani of HSBC. Please go ahead.
Faizan Lakhani: Hi, there. Thank you for taking my questions. In terms of the combined ratio I know it's been answered a number of different times, but obviously operating at a much better level than your guidance. Even with rates falling it feels like you've got a lot of room within that. Is there anything that puts it at risk where you feel like you can't get to 87% or below combined ratio? And if not then is there a plan to lower that guidance going forward? Second question is on the economic value calculation. And maybe it's something I've not picked up on or fully understood. It's probably the opposite way but my colleague Michael was talking about it. But from Q1 to Q4 onwards you still have the net income minus the dividend to be paid out. So should we actually expect the EV to fall in the rest of the year rather than grow from here? Thank you.
Jean-Paul Conoscente : I mean, I'll take the first question. Right now the portfolio is performing much better than the 87% as illustrated in what we published in Q1 including buffers. We haven't changed. We don't intend to change our guidance, but we have high confidence that we'll be able to meet a combined ratio below 87% for the year.
François de Varenne: Faizan on the second question. So just I mean to reiterate that we net the dividend from the computation of the economic value growth during the year. I guess if you have any question on the real I mean how we take into account the constant economic effects such as FX and interest rate you can call the team and they will walk you on the methodology.
Faizan Lakhani: I guess on the second one just in the past you used to have pull to par as part of your guidance for the growth. Is that no longer part of the calculation or requirement anymore within that?
François de Varenne: No, it's not. Its up…
Faizan Lakhani: Thank you.
Thomas Fossard: Thanks, again. Can we move to the next question?
Operator: The next question is from Darius Satkauskas of KBW. Please go ahead.
Darius Satkauskas: Hi. Thank you for taking my question. Just one please. In regards to the reserve prudence you've been building in the P&C business would you be willing to use it to limit the soft market impact on your earnings when it comes? Or is this really a protection against the earnings volatility from cats and the like? Thank you.
François de Varenne: Yes. Darius I think, I mean, we already mentioned I mean we are going to use the buffers that we put aside and we started to put aside during the summer 2023 when it will be useful. So probably it's when the P&C cycle will be really soft not before. So don't expect any use. Thierry, maybe you want to add something on this?
Thierry Leger: Yes. I think, François you said it right. It probably needs a combination of a soft market and the large claim. Currently, however, we are not in that environment. I think the margins are solid enough to absorb volatility at this point in time. But as it is or has always been the case in the past right there will be more difficult cycles. And at that point we might use it. Now we are -- in our minds we are just in another mindset now. It's more on the building side than on the usage.
Thomas Fossard: Thank you, Darius. And we're going to move to probably the last question.
Operator: The last question is a follow-up from Michael Huttner of Berenberg. Please go ahead.
Michael Huttner: Hi. It's probably going to be very short. You -- I think in Q3 or Q4 you mentioned a provision against arbitration. I just wondered if there's any update on this topic?
François de Varenne: Michael, I don't know if your question is an update on the provision or an update on what is linked to the provision. There is no change in the provision in Q1. The only thing I can say on the current arbitration process with Covea. We expect now probably the decision of the panel. We expect this decision probably more at the beginning of 2026. And we see less probability of a decision of the panel by the end of this year. That's the only update we see on our side.
Michael Huttner: Fantastic. Thank you.
Thomas Fossard: Thanks, Michael and thanks everyone for attending this conference call. So our team is available for any questions you may have as a follow-up. As usual so don't hesitate to give us a call. As a reminder SCOR will release its Q2 2025 results on the 31st of July with a call at 2:00 P.M. CET. And with this we wish you a very good afternoon. Thank you all. Bye-bye.